Operator: Good morning. My name Ken and I'll be your conference operator today. At this time I'd like to welcome everyone to the Royal Gold Fiscal 2009 Third Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there we'll be a question and answer session. (Operator Instructions). And now I'd like to turn the call over of Ms. Karen Gross. Ma'am, go ahead.
Karen P. Gross: Thank you, operator and hello everyone. Welcome to our third quarter fiscal '09 conference call that's being webcast live today. You'll be able to access a replay of the call on our website at www.royalgold.com. Also on the website, you'll find our release detailing our financial results. As always, this discussion falls under the Safe Harbor provision of the Private Securities Litigation Reform Act. A discussion of the company's current risks and uncertainties is included in the Safe Harbor statement in today's release and is presented in greater detail in our filings with the SEC. Participating on the call today are Tony Jensen, President and Chief Executive Officer; Stefan Wenger, Chief Financial Officer and Treasurer; Bill Heissenbuttel, Vice President Corporate Development; Bruce Kirchhoff, Vice President and General Counsel; and Stan Dempsey, Chairman. A Q&A will follow our comments. We will also be discussing the company's free cash flow which is a non-GAAP financial measure. There is a free cash flow in reconciliation in today's press release. Now, let me turn the call over to Tony.
Tony Jensen: Good morning. And thank you for joining us today. There's been quite a bit of news during the quarter and certainly additional news has come out this morning. So we very much look forward to updating you on all those issues. Our portfolio of assets once again generated strong revenue during the period as we reached an all-time quarterly high of nearly $21 million. Goldstrike, Leeville and Mulatos achieved solid operating results and with combined revenue of $5.4 million. Taparko provide at another $5 million and received about $3.6 million from the royalty interest that we acquired this past October from Barrick. Combined these assets more than offset revenue declined at Cortez and Robinson, which together contributed $5.6 million. This continues to demonstrate the strength of our diversified royalty portfolio. Our Royalty interest, we're focused on precious metals. This quarter gold production contributed to 89% of revenue, while silver contributed an additional 3%. Now; let me turn the call over to Stefan for a more detail discussion on our financial results.
Stefan L. Wenger: Thank you, Tony. Highlights for the quarter include revenue of 20.8 million, compared with revenue of 18.7 million for the comparable period. Net income of 4.1 million or $0.12 per share, compared with 6.9 million or $0.11 per share for the third quarter of fiscal 2008. The decrease in net income was due mainly, to increased DD&A cost of $4 million in the quarter. Free cash flow of 17.5 million or 84% of revenues, compared with free cash flow of 15.5 million or 83% of revenues for the prior year period. And we ended the quarter with the cash balance of 51 million and no long term debt. Our current cash balance as of April 30, was approximately 292 million; reflecting the proceeds from our recent equity offering. Of course, about 218 million has been set aside for the closing of the Andacollo transaction. For the nine month period, royalty revenue was 51.5 million. Net income was 31.3 million or $0.92 per share and free cash flow was 42.3 million or 82% of revenues. Revenue of Robinson was down by 2.6 million on a quarter-over-quarter basis. This was primarily due to the impact of lower copper prices, a decrease in copper and gold sales and a final negative pricing adjustment for the quarter totaling approximately $200,000. As we discussed last quarter, our Robinson royalty will continue to be impacted by positive and negative pricing adjustments in future periods. Our DD&A cost increased to about 10 million for the third quarter, compared with about 6 million for the comparable quarter of fiscal 2008. This quarter's increased depletion cost is the result of lower production at Cortez. And strong revenues from our recent royalty acquisitions, which carry a higher cost per ounce in our more mature properties like Cortez and Robinson. Now, I'll turn the call back to Tony to review the operational and development elements of the business with you.
Tony Jensen: In reviewing our portfolio this quarter Goldstrike, Leeville, Mulatos and Siguiri all turned in solid performances. Our production at Cortez was lower than expected during the period, mainly due to lower grades been mined. Barrick reported that they expect production to improve in the coming quarters as higher grade ores mined. Production continues to ramp up at Dolores and just this morning Minefinders announced that they reached commercial production at the end of April. This stretched hold is important to us as it triggers the payment of our 2% NSR royalty and gold and silver production; which is in addition to our 2.15 -- sorry, our 1.25 NSR royalty on gold that is currently providing us revenue. Recovery on the leach pad is meeting or exceeding expectations. The mine produced 14,000 ounces of gold and 282,000 ounces of silver during the quarter resulting in gold royalty revenue of $200,000. Production at Taparko has been improving; despite the mill only achieving 68% availability. Sales of 23,000 ounces resulted in record relative revenue for the quarter. Extensive maintenance on the mill was completed during two shutdowns; one in January and another in March. To further reduce drive train vibrations and improve the contact between pinion and the bull gear. Turning to the development stage properties; just this morning Barrick formally announced the go ahead decision at Pascua-Lama; following the resolution of cross border fiscal issues and provided some keys statistics on the project; including a reserve of 17.8 million ounces of gold and 718 million ounces of silver, a mine life of greater than 25 years. Average production over the mine life of 600 to 700,000 ounces of gold and 20 to 25 million ounces of sliver at a total cash cost of 200 to $250 per ounce. Production rates in the first five years are higher and cash costs are notably lower. This higher grade is mined earlier in the mine life. Commissioning is expected in late 2012 or early 2013. Royal Gold holds a 1.08% NSR royalty on this project at existing gold prices on the gold mineralization that is mined within Chile. And we understand about 80% of the gold will searched from Chile. At existing gold prices, this royalty could add about $7 million in revenue annually for their first five years of production. Another major pillar of our future revenue stream is Penasquito. We understand that Goldcorp remains on track for a start-up of trans-trade processing just a few months. It expects to reach commercial production from the first sulfide circuit by the end of the year. Elements of the operation are beginning to come online as commissioning of the primary pressure and conveying commenced in April. We although announced a 2% NSR royalty on Penasquito in our current metal prices an average annual royalty revenue would be in the $22 million range over the first 10 years of production. At Andacollo, the final pricing for the transaction is $218 million in cash and 1.2 million shares of common stock. This share consideration is now equaled to only 3% of our outstanding shares of 40.7 million. The total consideration for the transaction at our current share price is about $260 million, which equates to approximately $220 per contained ounce or $385 for payable ounce acquired. And remember as a royalty company, we don't have any further obligations to pay for operating or capital cost. We understand the construction remains on track for a start-up in the fourth calendar quarter of this year and ramp up in the first half of 2010. Andacollo is expected to be a substantial revenue source for Royal Gold in near future. At gold prices of $900 per ounce, we expect to receive about $32 million per year in revenue. We are working with tact to complete the items necessary to close the transaction, which is scheduled prior to October 30 of this year. I'd like to take this opportunity to introduce you to and welcome Bill Zisch to Royal Gold's management team. Bill joined the company about a month ago as Vice President of Operations, and has nearly 30 years of professional minding experience. He has spent the past 12 years with Newmont and many of those years on international assignments where he was Operations Manager at the Yanacocha mine in Peru, and later Vice President in African Operations well based in Ghana. Prior to his position with Newmont, he spent 16 years of FMC Company, starting in coal and gold operations and then advancing to the company's chemical group in operating in strategic sourcing roles. Bill will be responsible for providing oversight and management of our expanding portfolio. And will lead all our technical due diligence activities associated with the company's acquisition efforts. We're really excited to have Bill join our team and you'll hear more from him in the coming conference calls, but today we have him hard at work in Chile. So, he was not able to join us. In summary then, our diverse royalty portfolio, which now comprises 27 producing properties performed very well, resulting in record quarterly revenue for the company. We also are pleased with the substantial progress accomplished at our core development royalties. For the remainder of this calendar year, we anticipate increased revenues from Dolores and Penasquito, as those properties continue to ramp up production. We also executed on our strategic growth plan during the quarter. Our recent agreement with tax on the Andacollo mine further enhances our world class royalty portfolio. It maintains our focus on gold and will be a core royalty for years to come. We're also pleased with our substantial progress made over the past nine months in drawing our portfolio. Our financial condition remains strong, even after completing the Andacollo transaction and we are well-positioned to continue to pursue opportunities. Operator that concludes our prepared remarks and we'd be happy to entertain any questions if there any for us.
Operator: Thank you very much, sir. (Operator Instructions). And your first question comes from Andy Schopick from Nutmeg Securities.
Andrew Schopick - Nutmeg Securities: Tony, hi. I have a couple of question I'd like to ask you. If you could first just give any additional color on the situation in Taparko beyond what you've communicated in the press release, is there anything new that you could add on that?
Tony Jensen: Andy, the operation has been performing better. The vibrations are going down, and I think they very seem to be manageable at this point. I don't know that we could ever expect the mill to probably achieve availability, somewhere to what we'd expect in North America. But nonetheless, we understand that the finances, of Samira, the holding company at Taparko are sound and the operation continues do improve ever since when you give about gearbox one in November. So we're pretty pleased with it. I think $5 million with only, $5 million in royalty revenue with only 68% availability, kind of shows you the power of that royalty in the early years on that project. So, we're pleased with what's happening there. And I think they are just making some steady progress start towards resolving issues.
Andrew Schopick - Nutmeg Securities: Okay. Let me ask you couple of more general type questions. I'm just curious to get your comment on these. How does the current conditions in the credit markets affect the prospects for doing any new royalty deals? And secondly, how does the current low interest rate environment impact your rate of return analysis or expectations on any new royalty type negotiations?
Tony Jensen: Well. The first that I think, when you talk about the current macroeconomic financial conditions, I think this is really the stage that set us up well to be able to the Andacollo transaction, while base metals kind of came off, some of those companies became stressed with leverage. At the same time, we were pretty much capable and able to exercise new opportunities. So, I don't know if there is additional time in a window, we're still open to do additional gold string with base metal companies that might need to restructure their balance sheet. But that certainly has been a focus of hours during this macroeconomic condition. So, I think there is -- it's a wonderful time. We see a lot of good deal flow. There is companies that are in the gold only sector that aren't able to excess capital. Our capital is to expensive for them. And so we see us been able to really compete nicely at this time. With regard to the low interest rates environment, I think that's the low interest rate is really only available for some and not many. If you look at some of the cost of capital that's coming out in the bond issuance, in even some major mining companies. The cost of capital, I think is going up pretty substantially and it's more of a cost of funds to the lenders rather than a cost of capital. So, I do think that these are all good things for us to continue to grow our business with them.
Andrew Schopick - Nutmeg Securities: Okay, thank you.
Tony Jensen: Thanks, Andy.
Operator: Our next question comes from Victor Flores from HSBC.
Victor Flores - HSBC Securities: Yeah, good morning Tony and everyone. I have three questions. The first sort of a follow-up to the previous question regarding Taparko. It looks like, I mean to try to frame it, it looks like we're sort of in a half pregnant sort of situation with them. Because the mine isn't performing the way its suppose to, which means that they're technically in violation of the covenants. On the other hand, it's working well enough that you've got 5 million bucks during the quarter. So, I'm just trying to understand sort of more from a legal point of view, what happens going forward? Nothing but --
Tony Jensen: Yes, Victor. We haven't forbear on any of our defaults. We haven't stood down on any of those. There is the major one there is that they did not reach commercial production as required. I think it was back in the end of September. So, we still have maintained all of our legal rights. We still hold the collateral and the securities that we have access to. We still can take, we still have the pledges both at the Samira level, which is Burkina Faso entity and the Cayman Island level as well. So, we really would like to continue to see the project make strides towards improving, and that's really where our focus has been. And I think you really famed it quite nicely, it may not be up to the expectations, but it's still performing reasonably well for us on a royalty basis.
Victor Flores - HSBC Securities: And perhaps to press you a bit. How bad would things have to get for you to perhaps get a bit more grumpy with them?
Tony Jensen: You know Victor, I can't be really specific on any issues. But let me just be general and say as long as you see good progress going the right direction, I think point to support.
Victor Flores - HSBC Securities: That's fair enough. Thanks. Second question goes to the Andacollo transaction and for the life of me, I meant to ask you this question several times and I keep on forgetting. Is this royalty kicking upon the production of the first gold in concentrate or do you have to wait for them to achieve technically commercial production to get paid?
Tony Jensen: No, it's every ounce that comes out of the property. So, it's the first ounce.
Victor Flores - HSBC Securities: Okay, great. Thanks and then the final question goes to the other royalty properties. You're getting 3.5 million bucks there from various projects. And I see from the footnotes that Benso and El Chanate were quite good contributors. Were there perhaps one or two other royalties within that other which are in the Barrick portfolio that are noteworthy?
Tony Jensen: You know I'm looking at Stefan just now. You hit on two nice ones. Capital Gold's done a fabulous job for us and that's been producing good revenue for us. And Benso, I think came up with about a $1.5 million this quarter. So they had a really, really good quarter. Stefan, apart from those, does any come to mind?
Stefan Wenger: Victor, the Troy contributed about $500,000 for the period as well and as we look towards the fourth fiscal quarter, we would expect to be close to our cap on that 7% GSR. But, Troy is producing at a pretty good rate there. Really no other notables to comment that had significant revenue during the period. One I point out I guess is Twin Creeks that did, that had a pretty good quarter as well.
Victor Flores - HSBC Securities: Great, thank you very much.
Stefan Wenger: Thanks, Victor.
Operator: (Operator Instructions). And our next question on the line is Imaru Casanova from BJM.
Unidentified Company Speaker: Hi, Imaru.
Imaru Casanova - BJM Research: Yeah, hi. I had a lot of the questions on Taparko that has been asked. But I was wondering if I could ask any sort of guidance on next quarter's production? I am not really sure if the 23,000 ounces; how they were distributed, production is still ramping up. Should we expect this same level for next quarter or a little better, I guess I'm a bit under dark and what you expect there?
Tony Jensen: Imaru, are you specifically talking about Taparko? Yeah, we think that 23,000 ounces was a really good quarter for them. I don't know if they're going to be repeat those --
Imaru Casanova - BJM Research: Okay.
Tony Jensen: Numbers, but I do think that we're seeing some good revenue flow there. I would just hasten to guess and say somewhere around 15,000 ounces is probably closer to maybe little bit north of that.
Imaru Casanova - BJM Research: Okay.
Tony Jensen: Where we would expect to be.
Imaru Casanova - BJM Research: That's good. That's helpful. Now, regarding the production reporting in the past you -- and I realized the number of properties have gotten very large. So, you might be changing the way you report. But, in the 10-Q, should we expect a little bit more detail on what's was produced where, and what the revenue from each asset, where are we going to -- are you're going to keep at same formats to the other category?
Stefan Wenger: Imaru, this is Stefan.
Imaru Casanova - BJM Research: Hi, Stefan.
Stefan Wenger: In our 10-Q, you'll see similar format as what you saw in the press release.
Imaru Casanova - BJM Research: Okay.
Stefan Wenger: With the other footnote and in the footnote, we've broken out in the other sort of significant ones within that other category. Everything in that category was 5%, and not really a meaningful contributor to our revenue.
Imaru Casanova - BJM Research: Okay.
Stefan Wenger: You'll see that same level of detail.
Imaru Casanova - BJM Research: Okay. So, we shouldn't expect to see all the line-by-line production on each of the -- for example, I guess we can back calculate it truly what the production there was et cetera. But you won't be reporting that going forward?
Stefan Wenger: That's correct.
Imaru Casanova - BJM Research: Okay. And just to clarify on the rate at Dolores is now that the commercial production has been reached. Should we assume that this was the starting today, you'll step up that royalty rate to 3.25 for gold and 2% for silver?
Tony Jensen: You got it Imaru. That's right.
Imaru Casanova - BJM Research: This rate is effective immediately now, I think?
Stefan Wenger: Correct.
Imaru Casanova - BJM Research: Thank you very much. I think that's it.
Tony Jensen: Thank you, Imaru.
Operator: Our next question then comes from John Doody from Gold Stock Analyst.
John Doody - Gold Stock Analyst: Hi, again guys, two easy questions item. Stefan might have mentioned, but what're the numbers of shares out now?
Stefan Wenger: John, we're at about 40.7 million.
John Doody - Gold Stock Analyst: 40.7, okay. And the underwriters over allotment was at $38 and that, they have through the close of today to exercise that?
Stefan Wenger: Yeah, John. That overlap and it we'll not be, the option will not be exercised.
John Doody - Gold Stock Analyst: Even though stock's at almost $40.
Stefan Wenger: The entire shares outstanding after this deal is 40.7. So, there'll be no more.
John Doody - Gold Stock Analyst: Okay.
Stefan Wenger: No more share dilution associated with the over allotment
John Doody - Gold Stock Analyst: Okay, good. And the other question, I know it's a familiar one from me. But would the revenues up this year versus last year's adjusted number, so, we'd be looking for a dividend increase perhaps?
Stefan Wenger: John, I'd be disappointed if you didn't ask me that question. It seems that I get that from you at least once a year. But, we don't have a set dividend policy as far as the yield or a payout ratio goes. And we are very proud as a Board is stepping that up in a reasonable sense. As I said many times in the past, we don't want to have to back away from that. But this is a very, very good growth opportunity for us at the present time. We see good things in front of us. And as we access the cost of capital and having to come back to the market to raise capital, we very much like to grow our business out of cash flow. And so we still want to keep a lot of that cash flow around as long as there's good business to be done.
John Doody - Gold Stock Analyst: Okay. I'll take that as a dodge, but also a maybe.
Stefan Wenger: All right.
Operator: Our next question comes from Greg Orel from Orel Capital (ph).
Unidentified Analyst: Hey, guys. I have one question really and it has to do with strategy and going forward. The Andacollo transaction is certainly, it's gold deal associated with base metals and what is the plan in terms of doing similar deals in the future, do you have plans to do that?
Tony Jensen: Greg, we have all kinds of different entry levels for our royalty and acquisition from exploration all away through to development and buying existing royalties. And also buying precious metal streams off of base metal companies and we're evaluating all those at the same time and I would hasten to guess what our next transaction would be in what area. But we very much would like to continue to do similar types deals as we did in Andacollo as opportunities present themselves.
Unidentified Analyst: Okay. So there is no concern of having too much of revenue try to project of mostly base metals components and the potential that base metals prices could go down and therefore that mine would shutdown and your revenue stream would shutdown?
Tony Jensen: Greg, I understand the question and the concern. I think the bigger issue is that we have to make sure we do business with properties that have good stand power. And that's where we spend a lot of our focus. We're not concerned about that at the present time. But I do understand your issue and that's how we'd address that.
Unidentified Analyst: Great. Andacollo, what would be the, kind of the breakeven on copper do you see that you guys --
Stefan Wenger: I think after we talk, after pull our gold credits out that would put Andacollo somewhere around a $1.10. I am looking at Bill Heissenbuttel here and he's confirming that. And we look at that as being an upper third quartile type of producers, so see that a different way. They'd have to be about 25% of the world's production come offline before it wouldn't impact and to Andacollo.
Unidentified Analyst: Great. Yeah. I'll take a sense. Yeah. I appreciate it.
Tony Jensen: Thank you, Greg.
Unidentified Analyst: Yeah.
Operator: Our next question comes from the line of Adam Schatzker from RBC Capital Markets.
Adam Schatzker - RBC Capital Markets: Hello everyone.
Tony Jensen: Hey, Adam.
Adam Schatzker - RBC Capital Markets: Just a quick question, actually I guess it's a continuation of the last one. What kind of competition are you seen when you look at royalties that are I guess put out for a bids. Is it getting more intensive? Are you're finding the returns are getting skinnier?
Unidentified Company Speaker: I'm just going to turn to Bill and ask Bill Heissenbuttel, our Corporate Development fellow to answer that question.
William Heissenbuttel: Yeah, actually I mean it is a very competitive market. We see a lot of opportunities. But I can assure you there's an opportunity that we look at. That we're assuming that isn't being reviewed by the Francos and IFCs of the world.
Stefan Wenger: So, I think that another point that I would like to make there Adam is that well, the competition might be getting more pronounced. I think lots of the opportunities are there, I just don't know that there's enough capital for one company to do all the things that are available in the market today. There's, with more companies coming in this whole space has become much more credible, both from an industry standpoint and from a counterparty standpoint. As we do Andacollo type deals, I think that just brings more business the entire sector. So, I think both of those things would balance out. There might be more competition, but I think there's more opportunity.
Adam Schatzker - RBC Capital Markets: All right. Thank you very much.
Operator: Our next question comes from Cosmos Chiu from CIBC.
Stefan Wenger: Are you there Cosmos?
Cosmos Chiu - CIBC World Markets: Yeah, hello can you hear me?
Tony Jensen: I can.
Cosmos Chiu - CIBC World Markets: You cannot or you can?
Tony Jensen: Yes, we can hear you, just fine.
Cosmos Chiu - CIBC World Markets: Yeah. Hi guys, got a quick question here. Have you received the cash of 5.1 million coming from the royalty revenue from Taparko? I don't know, if you have given the difficult financial situation or the operator?
Stefan Wenger: Cosmos, this is Stefan. Thanks for the question. We have received that cash there. That payment's due by the 10th business day of the month. And they've, Taparko has paid us sometime since production started. So, there's no issue there.
Cosmos Chiu - CIBC World Markets: Great, thank you. That's all I have.
Tony Jensen: Thank you.
Operator: And I have no further questions in queue. I'm turning it back to you for any closing and final remarks
Tony Jensen: Thanks very much operator. And thank you all for joining us today. We appreciate your interest and continued support of Royal Gold and look forward to updating you on our progress in the next quarterly conference call. Thanks much.
Operator: This now concludes your Royal Gold fiscal 2009 third quarter earnings call. You may now disconnect.